Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Primerica Quarter one 2020 Earnings Results Conference Call and Webcast. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to turn the conference over to your speaker today, Nicole Russell, Head of Investor Relations. Thank you. Please go ahead.
Nicole Russell: Thank you, operator, and good morning, everyone. Welcome to Primerica's first quarter earnings call. A copy of our earnings release, along with materials that are relevant to today's, call are posted on the Investor Relations section of our website. Joining our call today are Chief Executive Officer, Glenn Williams; and our Chief Financial Officer, Alison Rand. Glenn and Alison will deliver prepared remarks, and then we will open the call up for your questions. During our call, some of our comments may contain forward-looking statements in accordance with the safe harbor provisions of the Securities Litigation Reform Act. The company assumes no obligation to update these statements to reflect new information. We will refer you to our most recent Form 10-K, as modified by subsequent Form 10-Q, and the press release filed on our Form 8-K dated April 19, 2021, for a list of risks and uncertainties that could cause actual results to materially differ from those expressed or implied. We also reference certain non-GAAP measures, which we believe provide additional insight into the company's operations. Reconciliations of non-GAAP measures to their respective GAAP numbers are included at the end of our earnings press release and are available on our Investor Relations website. I would now like to turn the call over to Glenn.
Glenn Williams: Thank you, Nicole, and thanks, everyone, for joining us. First quarter results reflect a very strong start to 2021. The fundamental strength in our business model continues to build and we have benefited in part to consumers' response to the COVID pandemic. Year-over-year term life sales were up 16%, investment and savings product sales were up 27%, and recruiting is up 12%. We are also seeing steady progress in mortgage sales, and we've received an enthusiastic response from our sales force, employees and other constituents to our newly announced intent to acquire e-TeleQuote, which will add a senior health solution to the products we offer to middle-income families. Let me expand on these themes. Starting on slide three, adjusted operating revenues of $637 million increased 18% compared to the first quarter of 2020, while diluted adjusted operating income per share of $2.44 rose 19%. ROAE also increased to 22.2% compared to 21.8% in last year's first quarter. Turning next to slide four. Continuing its strong momentum, recruiting was up double digits as nearly 95,000 individuals joined Primerica during the first quarter of 2021. Our efforts to improve and communicate the appeal of our business opportunity are reinforced by our recent success and heightened career uncertainty caused by the pandemic. We continue to see a record response from individuals seeking freedom and control in their work lives. The licensing process continues to create a bottleneck for individuals trying to obtain a permanent life license. During the first quarter, nearly 11,000 individuals obtained a life license, less than we would normally have anticipated given our success in recruiting. The licensing process we see emerging out of COVID has both positive and negative repercussions. Virtual and online licensing classes have added flexibility for our candidates who are preparing to take a state or provincial exam. However, candidates who select the in-person route historically have a greater success rate due to the focused instructor-led learning. Social distancing measures and a general hesitancy to attend group classes currently limit the availability and appeal of live classes. We expect this dynamic to improve over time. On the positive side, 41 states and provinces have now rolled out remote testing capabilities. Remote exams are more accessible and convenient than in-person exams and have a similar pass rate. Even with this advantage, with fewer candidates completing in-person classes and attempting the exam, licensing remains below expectations. We ended the quarter with about 132,000 life license representatives. This number includes approximately 2,400 individuals with COVID-related temporary or extended licenses that we believe will eventually fall out of the count. Turning to slide five. We continue to see solid demand for term life insurance products and issued almost 83,000 new policies during the first quarter, a 16% increase compared to prior year sales. Year-over-year, comparisons continue to benefit from the fundamental strengthening of our business as well as COVID's positive impact on consumer sentiment. Consequently, our productivity rate remains at the top of our historical range at 0.21 policies per life insurance licensed rep per month compared to 0.18 in the prior year period. Our investment in Savings Products segment continued to set new sales and AUM records. Turning to slide six. First quarter sales rose 27% to $2.9 billion. Sales of mutual funds and managed accounts were up 43% and 34% year-over-year, respectively, while sales of variable annuities were up for the first time after three consecutive quarters of year-over-year declines. We owe much of our ongoing success to the efforts of our sales force and the breadth of products we offer our clients. Our success is amplified by technology support, which has improved client interactions and enhanced communication and connectivity. The strength of the financial markets, along with emerging optimism, has also helped motivate clients to invest for the future as evident by net client inflows surpassing the $1 billion mark for the first time in our history. We continue to see progress in our Mortgage Distribution business and remain deliberate in our efforts to expand into more states. The appeal of this opportunity is also leading eligible reps in both new and existing states toward obtaining the appropriate licenses to expand their business into this new area. We believe this program will contribute about $8 million to 2021 pre-tax earnings, then grow by $5 million to $7 million per year thereafter. Assisting clients with mortgages and managing their debt load also has a positive impact on life sales, ISP production and recruiting. As we enter the second quarter and the COVID impact continues to moderate, we recognize that year-over-year recruiting and life production comparisons will be difficult to evaluate. Comparability will be further distorted by significant recruiting and production incentives we used in 2020 to preserve momentum as the pandemic worsened. In addition, states adopted temporary licensing measures to manage through COVID-related shutdowns, and these measures are starting to sunset. As we look ahead, we see continued momentum in recruiting compared to pre-COVID levels, and expect licensing to continue improving as states' and provinces' processes return to normal and social distance measures ease. However, it will take another quarter or two until we have a better view of the growth rate of our sales force. As we shared last quarter, we expect year-over-year comparisons for life sales to be slightly negative in the second quarter and full year sales are projected to decline by approximately 5% compared to the elevated levels in 2020. However, 2021 sales are projected to be approximately 10% higher than pre-pandemic levels. Preliminary sales of investment products were very strong in April. We expect second quarter growth to meet or exceed the first quarter's year-over-year growth rate of 27%. We believe momentum for Investment's product sales will continue, barring a resurgence of market uncertainty. Now I'll turn it over to Alison.
Alison Rand: Thank you, Glenn, and good morning, everyone. Starting with our Term Life segment on slide seven. Operating revenues of $382 million increased 17% year-over-year, and pre-tax operating income of $88 million was 6%. COVID continues to impact results with strong demand for protection products, driving sales growth and policy persistency. The significant level of death claims this quarter more than offset these benefits with the term life margin declining to 17.4% in the quarter from 19% in the prior year period. COVID did not have a significant impact on Term Life results in the first quarter of 2020. As Glenn noted earlier, sales growth continued at double-digit pace. The compounding of sales growth and strong policy retention over the last year moved adjusted direct premium growth to 16% year-over-year and added $9 million to pre-tax income during the quarter. Looking more closely at persistency, we continue to see strong policy retention and aggregate lapse rates about 20% lower year-over-year. First duration persistency saw lower year-over-year increases than other durations, partially due to the strong first duration persistency we were already experiencing in the first quarter of 2020 prior to the onset of COVID. Other policy durations continue to see very strong persistencies, although not at the unprecedented levels seen in the second half of 2020. We believe persistencies will continue to normalize to more sustainable levels throughout 2020. However, it is difficult to predict the pace at which normalization will occur or where retention levels will ultimately settle. For the first quarter, higher persistency resulted in $12 million lower DAC amortization and $7 million of higher benefit reserve increases for net contribution of $5 million to pre-tax income. Turning next to incremental claims attributable to COVID-related deaths. We recognized approximately $21 million in excess claims net of reinsurance during the first quarter, which is in line with our projections and consistent with previous quarter's experience of $1 million for every 10,000 population deaths. Claims were much higher at the start of the period with half of the deaths occurring in January then declining in February and again in March. Combined, the net impact of COVID on sales, persistency and claims resulted in a $7 million reduction to pre-tax income during the first quarter. Moving to Term Life expenses. Insurance commissions increased year-over-year due to higher nondeferred commissions related to enhanced field incentives to offset the absence of our biannual convention that was postponed to next year. Conversely, the insurance expense ratio remains below its historical average during the quarter at 7% compared to 8.5% in last year's first quarter. Expenses remained unchanged year-over-year due to various COVID-related restrictions that impact in-person meetings and licensing costs, which offset higher costs from normal growth in the business. Looking forward, as more people are vaccinated and infection rates decline, we expect sales levels to moderate, as Glenn described earlier. Adjusted direct premiums are expected to grow around 13% on a full year basis with growth rates tapering as the year progresses. Persistency will continue to normalize as previously discussed. Our best estimate is that persistency levels will continue to come down over the next two quarters and will revert to pre-COVID levels by year-end. This looks like the DAC ratio between 14% and 15% for 2021 with typical seasonality from quarter-to-quarter. We estimate second quarter COVID-related claims at approximately $6 million based on a projection of 60,000 population deaths in the U.S. and Canada. Assuming COVID-related deaths continue to decline, we expect the benefits and claims ratio to revert to its historical range between 58% and 59% later in the year. On a full year basis, we expect the benefits ratio to be between 60% and 61% for 2021. To the extent that COVID threats neutralize at the pace we anticipate, we expect full year term life margins to be in the mid-19% range for 2021. Turning to the ISP segment on slide eight. Operating revenues of $223 million increased 21% and pre-tax income of $63 million was 33%. Sales-based revenues were 21%, while revenue-generating sales growth 26%. Very strong sales of mutual funds drove the year-over-year increase. However, revenue growth lagged sales due to the lower average sales-based commission rate earned on mutual funds relative to our other investment products as well as a higher proportion of large dollar trades, which also have a lower commission rate. Sales-based expenses increased in correlation with the associated revenue. Asset-based revenues increased 24%, in line with the increase in average client asset value. Asset-based commission expense grew at a slightly higher pace than revenues as a result of Canadian segregated funds, which experienced less favorable fund performance during the period compared to our other investment products. Expenses for Canadian segregated funds are captured as insurance, commissions and DAC amortization rather than asset-based commissions. Canadian-segregated fund DAC amortization was lower by approximately $1 million year-over-year as last year's first quarter reflected the period's negative market performance, which had a much larger impact than the slightly unfavorable market performance experienced this quarter. Moving next to our Corporate and Other Distributed Products segment on slide nine. The operating loss increased by $4.6 million over last year's first quarter. On the revenue side, mortgage loan commissions increased $4.7 million, following the program's rollout over the past few quarters. Net investment income in this segment was lower by $3 million due to lower portfolio yields, combined with more net investment income being allocated to the term life segment to support the growth in that business. Benefits and expenses were about $7 million higher year-over-year. Mortgage-related commissions and operating expenses were approximately $3.5 million higher with another $5 million largely due to technology spend, higher employee-related costs and strong ancillary product sales. Partly offsetting these increased expenses was a $1.6 million loss associated with reinsurance allowance on a discontinued line of business recognized in the prior year period. Consolidated insurance and other operating expenses on Slide 10 were $122 million during the first quarter, rising 6% or $7 million year-over-year. Growth in the business, technology spending and employee-related costs increased expenses by about $10 million year-over-year, whereas COVID-related restrictions on in-person expenses, such as licensing and education, meetings and travel and entertainment costs, resulted in expenses being about $5 million lower. For the second quarter, both the current year and the prior year period expenses reflect these restrictions, and we expect these costs to increase as travel restrictions lift during the year. Second quarter insurance and other operating expenses are expected to be $113 million or 13% higher than the prior year period, which is excluding any cost associated with the acquisition of e-TeleQuote. Turning to Slide 11. Our invested assets portfolio remains well diversified across industries and issuers. The unrealized gain at the end of March was $98 million compared to $153 million at the end of December 2020, reflecting the increase in market rates during the quarter. On a consolidated basis, net investment income was about $1 million lower year-over-year. On Slide 12, invested assets and cash at the holding company of $369 million has been building to fund the e-TeleQuote acquisition, which we expect to close July 1. Immediately after closing, we expect holding company invested assets and cash to be around $170 million then growing to a more normal level above $200 million over the next few quarters. As we previously announced, we do not plan to repurchase any shares in 2021. We are confident our strong capital generation will allow us to resume repurchases in 2022 and continue to fund both our business growth and e-TeleQuote's cash needs. We expect e-TeleQuote's cash flows to remain negative through 2026 and be in the negative $40 million to $45 million range annually for the next few years. Primerica Life's estimated risk-based capital ratio was 400% at the end of the first quarter, and we plan to remain around this level for the rest of the year as we continue to fund business growth and pay ordinary dividends to the holding company. With that, operator, I open the line up for questions
Operator: [Operator Instructions] Your first question comes from the line of Jeff Schmitt with William Blair.
Jeff Schmitt: Hi Good Morning. Last quarter, you'd mentioned you thought 4,200 individuals with either temporary or extended licenses wouldn't pursue a permanent license. And that dropped to 2,400 this quarter. Did those all drop off in the quarter? Is that the differential? Or is there a change in that estimate at all?
Glenn Williams: No, that's -- it's just part of the process that we started. It's on the slope, kind of the glide path that we talked about last quarter. It is dependent when they drop out based on how quickly states react. Whether they're continuing -- a small number of states are continuing to issue a very small number of temporary new licenses, almost negligible. But there are a number of states that had -- just have an open end on the deadline of their extended renewals, and that's the vast majority of kind of what is hanging out there the longest, but it is happening at the slope that we anticipated. This is just more of that process we described last quarter.
Jeff Schmitt: Okay. Okay. It is kind of moving in line with your expectations. Okay.
Glenn Williams: Exactly. Yes.
Jeff Schmitt: And then looking at the ISP margins, they continue to be really good at 28.4%. I think it's the highest first quarter result in 10 years. Could you speak to your outlook there? I mean is that just leveraging technology, higher asset base? I know that the other operating expenses have held flat for while now. I think they were flat in 2020. They're again flat in the first quarter. So could you maybe speak to your outlook there? And are investments being held off in that other -- operating expenses that's driving that or what maybe driving that?
Glenn Williams: Yes. I think we have seen some operating expense change a little differently in the ISP segment as -- it's driven by our investments and our technology improvements, other costs that we experienced in maturing that business and growing it because, as you point out, it's growing at a very healthy rate. And so you -- we are seeing a little bit of that concentrated there.
Alison Rand: Yes. And one thing to think about, and it's normalized out for this year, but over the last several years, I've mentioned that we renegotiated several of our contracts with our business partners, people who help us with record keeping and the like, all of which resulted in lower operating expenses, which we saw pretty significant reductions over the last several years. We've also hit, obviously, certain breakpoints with the size of our assets under management, which has also reduced some of the cost to operate. So that could be what you're seeing. I wouldn't say from the standpoint of our philosophy toward making investments in that business that anything has changed.
Jeff Schmitt: Okay. Okay, that’s helpful. Thank you for being answering speed.
Glenn Williams: Glad to help.
Operator: [Operator Instructions] Your next question comes from the line of Mark Hughes with Truist.
Glenn Williams: Good morning Mark.
Mark Hughes: Good morning Glenn, Good Morning All. I came in a little bit late, but did you give any color on or early thoughts about Q2 term life sales?
Glenn Williams: Yes, we did. We talked about the fact that as we discussed in the previous quarter's discussion, that we do expect to see second quarter and full year sales are going to start to decline some. And so we think the full year is probably at a 5% lower than the elevated levels of 2020. So we start to see some evidence of that by the end of the second quarter and then it will kind of continue through the last half of the year.
Alison Rand: Yes. But an interesting thing that you also commented on, just if he missed the language, was that we do feel like where we're going to land is above where we were pre-COVID. So I think that's --
Glenn Williams: About 9%, 10% above pre-COVID levels.
Mark Hughes: Yes. And did I hear you properly? You said kind of the decline maybe starting at the end of the second quarter?
Glenn Williams: Yes, exactly. You of course see it in the second quarter report is what we're anticipating now start to evidence itself. And then by the end of the year, you'd be at about a 5% lower than last year's elevated COVID levels.
Mark Hughes: Yes. Yes. How about -- Alison, did you give any color on the operating expenses for the full year? I think you said $113 million anticipated in 2Q. I guess the ETQ acquisition aside, how do we think about expenses for the full year?
Alison Rand: Yes. I gave some estimates last quarter. Those numbers have not changed. We came in just slightly below expectation in the first quarter, but absolutely believe it to be timing. So overall, the full year color that I provided last quarter remains unchanged. And with regard to e-TeleQuote again, obviously, some costs will be operated out that are associated with the deal itself. But we haven't layered in anything either on the revenue or expense side with regard to that transaction at this time.
Mark Hughes: Okay. And then are you gearing up for -- the sales force, are you prepping them for the e-TeleQuote? When we think about this year, given the July close, I know fourth quarter is obviously a strong period for that business. How engaged is your sales force going to be this year based on whatever groundwork you might be doing now?
Glenn Williams: Right. Well, we're certainly aware, Mark, of the uniqueness of the enrollment period that happens at the end of the year. And so our game plan is to get our pilot out operating around the time of the transaction closing. The distribution agreement operates a little separately from the rest of the transaction, and that's delivery. And assuming that we have good success, that our process can be as simple as we'd like for it to be, we do want to be in a position where we can take advantage of the annual enrollment period. But we are being realistic about how much -- there's not much time to get ready. And we want to make sure that anything we do in a new business line doesn't negatively impact the success that we're having in our current business lines. So we're going to try to moderate that expectation just a little bit based on those two considerations. But we are trying to get to a certain point where we can assess how successful we might be during an annual enrollment period. And then as we look forward into future years, when we have some maturity in the business, we'll be better at projecting once we have that first year's experience. So we're aware of it and preparing for it, but we're also realistic in our expectations of how much we can get done with the time we have.
Mark Hughes: Understood. Thank you.
Glenn Williams: Glad to help.
Operator: At this time there are no further questions. That does conclude today’s conference. You disconnect at this time. Thank you for participating.